Operator: Thank you for standing by, and welcome to the VMware Q1 FY 2022 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Mr. Paul Ziots, Vice President of Investor Relations. Thank you. Please go ahead.
Paul Ziots: Thank you. Good afternoon, everyone, and welcome to VMware's first quarter fiscal year 2021 (sic) [2022] earnings conference call. On the call, we have Zane Rowe, CFO and Interim CEO. Following Zane's prepared remarks, we will take questions. Our press release was issued after close of market and is posted on our website, where this call is being simultaneously webcast. Slides which accompany this webcast can be viewed in conjunction with live remarks and downloaded at the conclusion of the webcast from ir.vmware.com. On this call today, we will make forward-looking statements that are subject to risks and uncertainties. Actual results may differ materially as a result of various risk factors described in the 10-Ks, 10-Qs, 8-Ks VMware files with the SEC. We assume no obligation to and do not currently intend to update any such forward-looking statements. In addition, during today's call, we will discuss certain non-GAAP financial measures. These non-GAAP financial measures, which are used as measures of VMware's performance, should be considered in addition to, not as a substitute for or in isolation from GAAP measures. Our non-GAAP measures exclude the effect on our GAAP results of stock-based compensation, amortization of acquired intangible assets, employer payroll tax and employee stock transactions, acquisition, disposition, certain litigation matters and other items as well as discrete items impacting our GAAP tax rate. You can find additional disclosures regarding these non-GAAP measures, including reconciliations with comparable GAAP measures, in the press release and on our Investor Relations website. The webcast replay of this call will be available for the next 60 days on our company website under the Investor Relations link. Our second quarter fiscal '22 quiet period begins at the close of business, Thursday, July 15, 2021. With that, I'll turn it over to Zane.
Zane Rowe: Thank you, Paul, and thank you to everyone joining us today. Before we move into Q1 results, earlier this month, we announced Raghu Raghuram as the next CEO of VMware, effective June 1. Raghu is the architect of our future, an industry thought leader and has successfully steered the company's strategy and technology evolution across our rich history. This is an exciting milestone for VMware, which, along with the Dell spin-off plan, marks the company's transition into its next chapter. Raghu will say a few words following our Q1 results overview. Also on behalf of the company, I'd like to thank Sanjay Poonen for his years of service, his passion and his leadership. We wish him well on his next endeavor. We're pleased with our Q1 financial performance. Q1 total revenue was $3 billion, an increase of 9% from the first quarter of FY '21, with non-GAAP EPS of $1.76 per share, up 16% year-over-year. We continue to see customers utilize a combination of our solutions, ranging from modern apps and cloud infrastructure to networking and our digital workspace offerings. We're also seeing momentum with our subscription and SaaS portfolio and are on track to make most of our major product offerings available as subscription and SaaS by the end of this year. Customers remain focused on building out hybrid and multi-cloud environments and are changing how they consume technology, asking for more flexibility and choice. Recently, we introduced VMware Cloud Universal, a program that provides customers, like Western Union who has subscribed in Q1, with flexibility in utilizing VMware hybrid cloud offerings as they progress on their cloud journeys. With VMware Cloud Universal, customers can deploy applications on their choice of 3 VMware technology-based infrastructure stacks: VMware Cloud Foundation, VMware Cloud on AWS or VMware Cloud on Dell EMC. VMware Cloud Universal joins our product-specific universal offerings, such as VMware vRealize Cloud Universal and VMware Horizon Service Universal. In conjunction with these Universal offerings, we continue to drive innovation around 3 key customer priorities: cloud, app modernization and enabling a distributed workforce. In Q1, we announced updates to the VMware vRealize Cloud Management and CloudHealth portfolio, expanding our support for Amazon Web Services, Google Cloud, Microsoft Azure and VMware Cloud on AWS. These new and enhanced capabilities enable customers to manage and govern their hybrid and multi-cloud environments more securely. This past quarter, we secured a deal with Pirelli, helping them with consistent infrastructure and management capabilities. And in Q1, VMware Cloud on AWS achieved PCI DSS certification at the highest level available for a cloud provider, expanding our ability to support customers that require PCI for cardholder payments processing e-commerce applications. In the modern app space, customers are embracing Tanzu, our comprehensive portfolio of products and services, to modernize their existing applications and build new modern apps. We recently unveiled expanded cloud workload protection capabilities to deliver better security for containers and Kubernetes, helping customers with increased visibility and compliance. In Q1, we saw customer momentum with our Tanzu platform across key verticals, including financial services and also secured a key win with Telecom Italia, where we help them deliver better digital experience and modernize their operating infrastructure. We also recently announced that VMware Tanzu has been selected by U.S. Army Futures Command to enable a software factory where they can use modern cloud-native development practices. We're helping customers run their modern apps with new releases of vSphere 7 and vSAN 7, which are developer and AI-ready, scale without compromise, boost infrastructure and data security and simplify operations. This includes the next step in our collaboration with NVIDIA to deliver an AI-ready enterprise platform that combines the industry-leading compute virtualization software VMware vSphere and the innovation of NVIDIA AI enterprise suite. We also continue to see momentum with our Dell Technologies partnership. A new example of our collaboration includes plans to build a simplified, more secure, high-performing edge platform using VMware Cloud Foundation on Dell VxRail that can consolidate a variety of edge workloads and use cases. Additionally, VMware and Dell continue to help unleash the potential of 5G as an accelerator at the edge, enabling customers to derive real-time insights out of that data wherever it lives. VMware and Dell also continue to collaborate on solutions such as VMware Cloud on Dell EMC, VeloCloud SD-WAN, digital workspace and security, helping join customers in their digital transformation journeys. Over the past year, companies have seen the benefits of remote work and want to become truly distributed businesses where their employees can work from anywhere. We recently unveiled VMware Anywhere Workspace, a solution designed to help customers manage multimodal employee experiences, secure the distributed edge and automate their workspace. VMware Anywhere Workspace brings together 3 innovative solutions: VMware Workspace ONE, VMware Carbon Black Cloud and VMware SASE. This is built on our SD-WAN technology, which was recently recognized by IDC as a leading offering in 2020. Additionally, VMware Carbon Black was recognized as a visionary in the 2021 Gartner Magic Quadrant for endpoint protection platforms and recognized as a leader in the Forrester Wave Endpoint Security Software as a Service Q2 2021. Our commitment to ESG continues to be a priority across the company. As part of our 2030 agenda, we took meaningful steps towards our sustainability goals with the recent launch of our Zero Carbon Committed Cloud Partner program designed to accelerate the transition to 0-carbon clouds by 2030 through VMware cloud partner data centers that are powered by renewable energy sources. We're also proud to have been recognized on Forbes Best Employers for Diversity 2021 list, having made significant gains in our position over the last year. Now let's move to more detail on our business performance as well as our forecast. We had good performance overall in the quarter, including relative strength in our commercial business, which benefited from increased focus on partner collaboration and sales coverage. In Q1, the combination of subscription and SaaS and license revenue grew 12% year-over-year to $1.387 billion. Subscription and SaaS revenue increased 29% year-over-year, with the largest revenue contributions coming from VCPP; modern applications; end-user computing; Carbon Black and VMware Cloud on AWS, which grew over 80% in Q1. We're pleased with the growth and progress of our subscription and SaaS portfolio in Q1, and we'll continue to focus on our product development and go-to-market efforts on making subscription and SaaS a larger part of our business. ARR for subscription and SaaS was $3 billion, an increase of 30% year-over-year. While we continue to drive growth in our subscription and SaaS portfolio, license revenue exceeded our expectations, declining 2% year-over-year to $646 million. Our better-than-expected total revenue growth was the primary contributor to strength in non-GAAP operating income, which increased 13% year-over-year in Q1 to $923 million. Non-GAAP operating margin for the quarter was 30.8%, with non-GAAP earnings per share of $1.76 on a share count of 422 million diluted shares. We ended the quarter with $10.2 billion in unearned revenue and $5.7 billion in cash, cash equivalents and short-term investments. Q1 cash flow from operations was $1.266 billion, and free cash flow was $1.196 billion. For Q1, RPO was $11 billion, up 9% year-over-year. And current RPO was $6.2 billion, up 12% year-over-year. Total backlog was $52 million, substantially all of which consisted of orders received on the last day of the quarter that were not shipped and orders held due to our export control process. License backlog at quarter end was $14 million. We're pleased with our product portfolio performance in Q1. Core SDDC product bookings increased over 20% year-over-year, with compute increasing over 20% and cloud management up in the high teens. Compute growth was strong for both on-prem deployments and subscription and SaaS offerings, such as VCPP and VMC on AWS. Cloud management growth was driven by vRealize subscription and SaaS, which enables customers to manage both on-prem and multi-cloud environments in a consistent manner. While large transformative projects are starting to show signs of recovery after a slow year, NSX and vSAN product bookings were still impacted in Q1, resulting in single-digit year-over-year declines. Subscription and SaaS ACV bookings for EUC, which constituted approximately 3/4 of total EUC product bookings, grew over 30% in Q1, primarily driven by Horizon. Total EUC product bookings increased in the mid-teens year-over-year. We continue to focus on integrating Carbon Black and Tanzu into our product development and go-to-market selling motions. Tanzu was included in 5 of our top 10 deals in Q1. In Q1, we repurchased 2.5 million shares in the open market at an average price of $148 per share. As of the end of Q1, we utilized $1.8 billion from our current repurchase authorization of $2.5 billion. VMware remains committed to maintaining an investment-grade profile and credit rating. And to that end, we expect to use free cash flow primarily to delever following our planned spin-off from Dell. In addition, we will continue to invest in growing our business both organically and inorganically and return excess capital to shareholders through share repurchases. We'll provide further updates to our capital allocation plans as we near the planned spin-off this fall. Turning to guidance for fiscal '22. We're increasing full year guidance to incorporate stronger-than-expected performance in Q1. We now expect total revenue of approximately $12.80 billion or a growth rate of approximately 9% year-over-year. We expect to generate approximately $6.33 billion from the combination of subscription and SaaS and license revenue or an increase of approximately 12.5%, with approximately 53% of this amount from subscription and SaaS. We're increasing guidance for non-GAAP operating margin for the full year to 28.5% and non-GAAP earnings per share to $6.88 on a diluted share count of 423 million shares. We're also increasing our cash flow from operations guidance to $3.9 billion and increasing free cash flow expectations to $3.52 billion. FY '22 guidance does not include the impact of incremental debt we expect to incur in conjunction with the planned spin-off from Dell later this year. For Q2, we expect total revenue of approximately $3.100 billion or a growth rate of approximately 8% year-over-year. We expect approximately $1.485 billion from combined subscription and SaaS and license revenue in Q2 or an increase of 10% year-over-year with approximately 53% of this amount from subscription and SaaS. We expect non-GAAP operating margin of 28% for Q2, with non-GAAP earnings per share of $1.62 on a diluted share count of 423 million shares. In summary, we're pleased with our progress in Q1 and the momentum we're building with our subscription and SaaS portfolio. My thanks to the VMware team and our customers and partners for a good start to the year. I'm looking forward to working with Raghu to accelerate our progress towards being the company that leads our customers to the multi-cloud computing era, creating value for them, our partners and our stockholders. I'll now turn it over to Raghu to make a few comments before we open it up for Q&A.
Raghu Raghuram : First off, I'd like to thank my friend, Zane, for leading VMware through this interim period and keeping us focused on our FY '22 priorities. I look forward to the continued partnership with both Zane and Sumit Dhawan in his new role as President, leading our go-to-market teams. I joined VMware when we were a small independent start-up as the product manager for our core hypervisor. I have been fortunate to lead many of our efforts in creating new product categories and building new businesses that have made VMware one of the most influential and successful companies in our industry. We have an exceptional team, great culture, values and strong products. Most importantly, hundreds of thousands of our customers trust our software as the foundation for their most critical applications. So I am humbled, excited and honored to have been chosen to lead this great company in its next phase of growth. This is an exciting time in the industry. All organizations, enterprises and governments alike are in a transformational shift to become digital. To power the shift, customers are leveraging multiple public clouds. Data centers are increasing with the edge to transform the experiences of their customers and their workforce. Enterprise architectures are becoming distributed again. We are at the dawn of this multi-cloud era of computing, where enterprises have the sovereignty to deploy their digital assets where it best fits their business. In this new era, our mission is to provide the foundational platforms for accelerating digital business. We provide an ubiquitous consistent software platform across clouds, data centers and edge with which customers can rapidly build and modernize their applications. We empower them to operate their entire distributed environment with optimal cost, security and governance while leveraging their existing investments in our technology and skills to go faster to the future. Post spin, we will be the only standalone cloud company that has the necessary strategic partnerships with all the major cloud companies and all the leading infrastructure companies to deliver on a truly customer-centered multi-cloud vision. In summary, we deliver to our customers their digital future faster with lower cost and with the flexibility and freedom to build their applications on the platforms that best suit their needs and with confidence that their workloads will be resilient, more secure and efficient wherever they are deployed. Going forward, you'll be hearing from me more about the key areas that drive stockholder value that I'm passionate about, such as accelerating our innovation to drive the industry-leading multi-cloud computing portfolio that best serves our customers and accelerating our business model to support our customers' preference for subscription and SaaS. As we make progress in these areas, I'm confident that we will seize the tremendous opportunity in multi-cloud platforms that will power an exciting new phase of growth. I've been privileged to have been with VMware for 18 years. Let me share with you that I'm as excited about our future today as I was the day I walked in the door. I will now hand it back to Paul for Q&A.
Paul Ziots: Thanks, Raghu. Before we begin the Q&A, I will ask you to limit yourselves to one question consisting of one part, so we can get to as many people as possible. Operator, let's get started.
Operator: [Operator Instructions] Your first question comes from the line of Matt Hedberg.
Matthew Hedberg: First of all, Raghu, congrats on your new role, and congrats to the team on a strong Q1. I wanted to talk a little bit about life post the Dell spin. Maybe you've had a little bit more time to reflect on it. I'm sort of curious, how do you think it affects not only the growth algorithm on a go-forward basis but even -- obviously, there's going to be a deleveraging period here. But how does profitability then change to in a world -- from an independent VMware perspective?
Zane Rowe: Sure, Matt. I'm happy to start then let Raghu talk a little bit more about the strategy. Obviously, we're excited about the benefits of the spin, which we articulated some time ago, thinking about the outcome for both stockholders as well as for customers. Having established VMware as a standalone company enhances our ability to extend our ecosystem in support of our vision of creating this ubiquitous software and SaaS platform across all clouds and infrastructure. So as we think about that in financial terms, you'll hear a lot more through the year as to what that portfolio will look like and how we plan on leaning in even more with sub and SaaS and in particular, with the multi-cloud work that Raghu and the team are developing. So we're encouraged by what that landscape looks like. We're encouraged by the future. And you see with the first quarter performance here, we feel like we've got a lot of momentum in the multi-cloud categories, in particular, with core and with VMC and what we're seeing with VCPP. We expect that to continue, and we'll continue to have a strong relationship with Dell but allow us to use that ecosystem more broadly. Raghu, I'll let you talk a little bit more about the strategy.
Raghu Raghuram : Sure. Thanks, Matt. I'm excited about the impending spin-off. It -- and like Zane said, it allows us to execute on our multi-cloud vision and our multi-cloud strategy, partnering with all the leading cloud companies and all the infrastructure companies. And the customers that I've spoken to, they are positive based upon the increased flexibility that we're going to have in our partnering strategy. At the same time, we have been working really well with Dell over a long period of time, and we have codified our business partnership and technical partnership in the form of a commercial agreement. And that will continue very, very strongly. So we think post spin, we'll have the best of both worlds. The partnership with Dell is today, clearly around a bunch of technology areas that we have spoken to you about, such as VxRail, VMware Cloud and Dell, VeloCloud, et cetera, SD-WAN, et cetera, et cetera. Going forward, we have 15 statements of work on fundamental areas of differentiation where together, we can deliver a powerful solution for our customers. And that's going to be backed by our commercial agreement to work together in the field in service of our customers. So all in all, I'm very excited about the impending spin.
Operator: Next question comes from the line of Mark Murphy.
Mark Murphy: Raghu, I will add my congrats as well. Very exciting. You have spoken about turbocharging and accelerating the multi-cloud computing strategy of VMware, and you're coming from a position of strength with that. Can you help us understand which products or levers you want to accelerate? For instance, does it mean working perhaps a bit more with Azure and Google and others? Does it mean more subscription and SaaS? Does it mean pushing Tanzu even faster? Or are you referring to something else?
Raghu Raghuram: Yes. Thanks, Mark. So when it -- let's approach it from the customer perspective. As we have talked about in so many -- in the industry I've talked about, the top priorities for customer is to accelerate their digital transformation. What that means typically is that they are modernizing their application portfolio. They are moving to one or more clouds as it turns out, and they're increasingly deploying applications in the data center at the edge. It is this distributed enterprise architecture that's taking shape. In order to help customers accelerate this, you have to solve multiple problems, and that's what our software platform does. You have to help customers build modern applications faster on the cloud of their choice, and that is Tanzu. And Tanzu today, 30% -- at least 1/3 of the Tanzu business is -- deployments are on public clouds. So that's the first aspect of the strategy. The second, of course, is the multi-cloud infrastructure. We have spoken to you about 75 million, 85 million workloads on vSphere platforms today in the data center. And as customers think about deploying them in the clouds or in the edge or wherever they want to deploy them, the presence of our stack on AWS, which is our preferred partner on ABS -- sorry, on Microsoft through the AVS solution, Google through the GCVE solution and Oracle or IBM, Alibaba, et cetera, et cetera, provides customers with a significant choice on where to go deploy that workload. And then once you have deployed the work -- built the workload, modernize the workload, deployed it, then you want to manage it. And our management portfolio with vRealize suite of products is geared for multi-cloud management, where a significant portion of our customers has said might be on vSphere and a significant portion might be on non-vSphere. And of course, one of the common most important things that happens once you have deployed applications everywhere is you got to connect them together and ensure common network policy and then ensure common security policy. So all these parts of our portfolio are inherently and natively multi-cloud, and they all need to come together in a credible platform. That really is what we want to accelerate. And what I'm really excited about is there is no other industry player in the market that can bring all of these together into a coherent platform. We are very unique in that regard. The second reason we are very unique is the starting point for customers is the set of VMware technologies and tools they are already using. So we can help them get to the future state faster than anybody else. And then last but not the least, the third reason we are unique is post spin, we will be the only cloud company that has all these strategic relationships with all of these major cloud players and, of course, all of the major infrastructure players to truly deliver this platform end-to-end. So that's really what I mean when I say accelerate. It's a lot of work to do but super exciting. We are in a very strong position to begin with. And as you know, we have a history of innovating in each of these categories. And I'm looking forward to the days and weeks ahead.
Operator: Next question comes from the line of Raimo Lenschow.
Raimo Lenschow: Thank you and congrats from me as well, Raghu. The -- can you talk about the strength in compute? That was kind of really amazing this quarter. And you called out some of the partner kind of work there. How much of that is kind of underlying recovery? And how much of that is like kind of one-off stuff versus kind of fundamental changes to the business? Because that's really exciting.
Zane Rowe: Yes. Raimo, I'll start. As you point out, the compute business continued its recovery now that we've cycled 1 year since the initial impact of COVID. So we had solid year-over-year growth, granted on a softer Q1 compare, but still solid growth, in excess of 20% on a year-over-year basis. It is contributed by our multi-cloud offerings, such as VCPP, VMC on AWS and just all of the grouping in aggregate contributed to compute growth. So we're really pleased with the solid performance of the category. The commercial sector in particular, which was hit hard initially, saw a nice turnaround this quarter. And we would expect that to continue to gradually recover over the course of the year. So it's really the fundamental strength that we're seeing in the business. We started to see some of this in Q4, and it's continued into Q1 and I think bodes well for the rest of the year. I'll maybe let Raghu touch on a little bit more on what we're seeing with some of the performance in compute and some of the areas we're working on.
Raghu Raghuram: Thanks, Raimo, and thanks, Zane. So on compute, as Zane said, we've seen strength because compute is such an integral part of our multi-cloud portfolio. And as offerings like VMware Cloud on AWS, our cloud offerings on Azure and Google, et cetera, et cetera, start to build up, we see all of that strength being reflected back into the compute business. Of course, VCPP has been -- for a long time been driving -- contributor to driving the strength of our compute business overall. And then across the board, in the enterprise and in the commercial sector, we have seen strength in the compute business. And then if you look at the product portfolio, what you may have observed is we have actually accelerated our innovation in core compute with not just vSphere 7, but the vSphere 7 updates. Zane talked about the NVIDIA portfolio -- sorry, NVIDIA partnership, which brings critical elements of the NVIDIA AI portfolio on top of vSphere and makes vSphere the go-to platform for enterprise AI. And then we have talked previously about our strength in telco, et cetera, et cetera. So our compute business, we continue to renovate and innovate around it in many different ways, and you're seeing some of the results.
Operator: Next question comes from the line of Mark Moerdler.
Mark Moerdler: Congratulations both on the quarter and Raghu on taking the helm, and we're looking for great things from that. So I want to follow up a little more on this increasing focus on cloud and subscription. You've been making more and more of your offerings available as cloud or subscription, but you've not really actively driven how the client purchase or what the client purchase. With the launch of VMware Cloud Universal, you add a lot more flexibility for deploy and move. Do you see the firm taking a more aggressive approach specifically to drive the transition via pricing, differentiated functionality, sales commission or something else to shift the client to it, that shift the business much, much faster to a recurring business?
Raghu Raghuram: Thanks, Mark. And yes -- the short answer is yes. But we've got Sumit Dhawan, our new President of Go-to-Market here on the call with us. And Universal, in many ways, is his baby. So I'll let him elaborate.
Sumit Dhawan: Thanks, Raghu, and thanks, Mark. Yes, so I think as you mentioned, Universal programs are designed for customers to really give them flexibility to embrace their cloud services at their own pace, okay? That's how we have designed the program. And we launched the program in Q1, and we had good initial success. And so the program is designed as a flexible subscription that simplifies the purchase and consumption of our entire multi-cloud infrastructure and management services. And the customers get the benefit of having choice and flexibility, where they buy once and they can deploy any eligible service at any time during the contract and truly be able to convert and apply anything that's unused on their on-premise technologies deployment towards the VMware Cloud on AWS. And that's a completely unique offering in the industry and has been a welcome for our customers. We are starting to see growth in our customer interest as well as just pipeline. And we have launched incentives to our teams, which are driving the appropriate behavior in our go-to-market teams. And as we go into the following semester, as we do our go market planning, we'll continue to make it so that teams lead with the appropriate offerings, encouraging our customers to embrace our universal offers.
Operator: Next question from the line of Tyler Radke.
Tyler Radke: I wanted to ask you about what you're seeing on the NSX and vSAN. I think you talked about product bookings were still impacted in Q1, but wanted to understand how you expect the bookings trends to trend throughout the rest of the year and if this is just kind of a function of some of the strategic projects being on hold. But just some color on what drove that in the quarter and how you expect that to recover throughout the rest of the year.
Zane Rowe: Sure, Tyler. Yes, I'll start and then hand it over to Raghu. As you point out, as we mentioned in my prepared remarks, NSX and vSAN product bookings were down single-digits on a year-over-year basis. But I'll also point out that if you look at the compare, both of those products were up over 20% for the same quarter last year. So they hadn't seen the impact of the slowdown at this point in time last year. And as you mentioned, there are those large transformative projects that are starting to show signs of improvement, which was slow through the course of last year. So we do expect to see those projects improve and to see more volumes of those projects. If you take a look at our top 10 deals, 8 out of 10 included both NSX and vSAN. So we're actually pleased with the technology. It's also a key element and part of our VMC as well as VCPP offering. So we're seeing it embedded in the rest of our product portfolio. And while it's off on a year-over-year basis, we're encouraged by the general outlook we're seeing through the year. And I'll have Raghu touch on a little bit more on what we're doing there.
Raghu Raghuram: Yes. To echo what Zane just said, NSX and vSAN are the core part of our multi-cloud offerings as well as a core part of our on-premise VMware Cloud Foundation stack. And we continue to expand leadership in both those products and the segments they participate in. And as VMware Cloud, AWS and VMware Cloud on these other hyperscalers and VCPP continues to grow, we expect that to benefit the NSX and the vSAN business as well. And then specifically on NSX, we have continued to expand the product portfolio to address even greater number of use cases. We now have the full layer to the layer 7 stack with a fantastic load-balancing offering, East-West firewall, IDS/IPS offerings, et cetera, all of which are tremendously differentiated and offer significant economic benefit to the customers over other alternatives. And of course, we have included our SD-WAN VeloCloud solution, which is also part of the networking portfolio into our Anywhere Workspace offering for customers. Similarly, vSAN is a core part of our VMware Cloud Foundation stack as well as our multi-cloud infrastructure stack. And we have seen good performance there as well. Specifically, we saw good performance in VxRail. And we continue to be an industry leader in HCI and continue to innovate around it. We recently introduced an innovation where customers are able to scale the compute separately from storage, and that increases the addressable set of use cases and opportunities for vSAN.
Operator: Your next question comes from the line of Karl Keirstead.
Karl Keirstead: Maybe this question is for Raghu and maybe Zane. I think everybody on the line has heard countless anecdotes from corporate CTOs about their plans to pretty aggressively accelerate their migration of workloads into AWS, Azure, GCP, and I think it's created a concern. I've shared it that perhaps those CTOs would therefore be less inclined to upgrade their on-premise data centers as a result. And yet I'm looking at your results where the CRPO growth was 12%; revenue growth, 9%; core compute, 20%. That seems to sort of refute that concern. And I'm wondering if you could offer your thoughts. Maybe the general thesis is incorrect, but it'd be great for you to help us square that.
Raghu Raghuram: Thanks. So the general thesis is like we -- like I said in the start of my remarks, we are at the dawn of a multi-cloud computing era. What that means is that customers are increasingly deploying applications across multiple clouds. They are deploying applications in the data center. They are deploying applications at the edge. And as a result, customers are looking for an end-to-end software platform that allows them to deploy their applications in the locations that best fit their business needs. They're looking to deploy, and the developers are looking to build on the platforms that best suits their application needs. And CIO and IT teams have to be able to manage it all and keep everything resilient and secure in a cost-efficient manner. That really is the macro trend that we're addressing with our product solutions, with our solutions in our portfolio. So if you think about our portfolio, our modern application modernization portfolio, which is Tanzu, has done very well. And Tanzu solves the value proposition for -- solves the problem for a developer that is wanting to accelerate application modernization on the cloud of their choice. And Tanzu addresses that problem. In fact, at least 1/3 of last year's Tanzu deployments have been in public clouds. If a customer is looking to take their existing workloads and move them to the cloud, VMware Cloud infrastructure addresses that problem. If a customer is looking to rationalize and consolidate data centers or optimize their existing environments, VMware Cloud Foundation addresses that problem. If a customer is looking to build out their edge portfolio and put applications for -- because they're revamping their stores or manufacturing facilities, et cetera, our hyperconverged infrastructure stack addresses that problem. What you see in the strength of compute is the fact that there are new applications being deployed across all of these places, and all of these are being deployed on a fundamental VMware foundation because that is the consistent foundation that gives them the manageability, the security and the cost efficiency and so on and so forth. That is why you see all these trend lines, and that's the connecting chart across all of these trend lines, if you will.
Operator: Next question from Ittai Kidron.
Ittai Kidron: My congrats as well, Raghu, and good luck in the new role. I did want to ask about RPO. It's the fifth quarter in a row where it's down significantly on a year-over-year basis. Zane, can you get into a little bit into the dynamics and the mechanics of this? And what should we expect out of RPO growth going forward?
Zane Rowe: Yes. Sure, Ittai. What we focus more on is the CRPO. And if you look over the last number of quarters, it's actually been fairly consistent. If you look more broadly at RPO, obviously, we had some favorable compares with some of the acquisitions over multiple quarters. But if you take a look at CRPO growing 12% on a year-over-year basis, it's somewhat consistent with what we've seen over the last few quarters. And we're very pleased with that. We think with our focus on ACV, and especially as we spend more time on sub and SaaS, that tends to be the metric that we're more focused on. And we're quite pleased with the 12% growth there. I'll also point out that, we've highlighted all along the tremendous growth we've seen in VCPP. And of course, that's not typically captured in an RPO metric because of the utility model that it represents. And it's been very favorable on a year-over-year basis for the last number of quarters, starting in the second quarter of last year. So we're quite pleased with the growth we're seeing overall on both, I'd say, RPO and most particularly on CRPO.
Operator: Next question from Brad Reback.
Brad Reback: Zane, as we look towards the VMware Cloud Universal product and the deployment flexibility that it gives customers, as it grows bigger, how should we think about the impact of rev rec and cash flow from that flexibility?
Zane Rowe: Yes. Brad, it's a great question. I mean, obviously, it provides some flexibility at the onset. And then customers, depending on which path they choose to go down, will be engaging in the products in that regard. So the programs designed probably favoring a little bit more of the sub and SaaS-type model and sub and SaaS products, obviously, giving our customers that choice and flexibility. But as we've seen, we still have a number of customers that will choose perpetual as well. So with that flexibility, obviously, we've factored that into our guidance. And we're pleased to move our guidance up this year, as you saw with the strength that we saw in the first quarter. But as Universal comes along, we'll learn more and more about what customers are choosing to deploy and have that flexibility on, and we'll account for that accordingly. But we're expecting for it to be -- a fair amount of that rolled up ratably, but that's embedded in our forecast, and candidly, in our optimism for future years.
Operator: Next question from the line of Jim Fish.
James Fish: And Raghu, congrats on the promotion, of course. Not to beat a dead horse, but outside of the easy compare, it does sound like the core business stays returning. Any more color on the impact you're seeing, more specifically from private cloud investments, data center consolidation and other items impacting the core? Then obviously, you're a software company, but are the supply chain shortages actually playing a role on the business from a push-or-pull dynamic at all?
Zane Rowe: Sure. I'll start on the macro and then let Raghu touch on as well. I think just in general, as I pointed out earlier, we saw some of this building up in Q4. And I think there's just this general sense of optimism, and clearly, improved spend that we're observing, and that's coming back in our core products. And we couldn't be more pleased, as you said, with the dead horse that we continue to beat on compute and management. But we're happy with over 20% growth. We'll just keep beating that for as long as we can. But generally speaking, we're pleased. I think it's the integration of the multi-cloud portfolio and what we're seeing with our customers. And then thankfully, as we hopefully are starting to see the light at the end of the tunnel here with regard to the impact of the pandemic on a number of our customers, in particular, those in the commercial space. And with our partners, we're encouraged by some of the trends we're seeing there as well. Raghu, I'll let you add to that.
Raghu Raghuram: Absolutely. Thanks, Jim. To add to what Zane said, fundamentally, what we are providing to enterprises is the ability and the power for them to choose where they put their application. And we are able to help them wherever they want to either build a new application or modernize an existing application or just modernize the infrastructure underneath the application. It sort of turns out that there's a lot of that still happening in the private cloud, especially amongst the very, very large companies. For example, we are working very closely with some of the largest banks that are continuing to build out the private cloud even as they invest in a public cloud. Similarly, we are continuing to work with some of the very large telcos that are continuing to build out their network infrastructure and even as they think about their multi-cloud strategy. And I was speaking with a CTO yesterday, and what that person told us is that they're investing in the modernizing of their existing infrastructure to generate savings that they can then reinvest in modernizing their applications. So we are seeing all of these dynamics play out at the same time, which is why I think the answer is not simple as something decreases in A and shows up in B. So...
Operator: Next question from the line of Brent Thill.
Q - Brent Thill: Raghu, after 18 years, you've seen a lot. I guess, as you look forward, what is the top priority for you taking over? Anything that you're changing that perhaps wasn't on the approach that you want to take?
Raghu Raghuram: Yes. I mean, I think -- thanks, first, Brent. I alluded to 2 things in my prepared remarks. Let me sort of elaborate on that. I think from -- if I look at the customer trends, and you and I have spoken many, many, many times before, and we look at the world from the customer in, customers are accelerating their use of multiple infrastructures. In many ways, the industry goes through this pendulum of centralization to decentralization to centralization and back again. I think we are in such a pendulum swing again. So if you think about the last 10 years, it was all about centralizing to a cloud. And everybody thought all applications in the world was going to run in 3 clouds, right? But actual customer behavior is turning out to be the other way. Customers are deploying applications across multiple places. And it's not just VMware that's observing it. Microsoft's CEO made the same observation at a recent conference. The world is becoming distributed again. And the question is, who -- which of our -- which of the IT vendors that our customers depend upon can do credible and great job at helping them in this new distributed world? And we think there's a tremendous opportunity here that plays to our strengths, and that is what I'm focusing on. So when I say we want to accelerate the innovation in our multi-cloud portfolio, that's exactly what I mean, providing an end-to-end software platform, not just the compute but the networking, the connectivity, the management, the storage, everything put together. So that's point number one.  Number two, our customers are expressing a preference towards subscription and SaaS models. So we have to accelerate our business model evolution to subscription and SaaS. And we are doing 2 things in that regard. One, obviously, as we focus our energies on application modernization, multi-cloud and enabling the workforce of our customers to work from anywhere, all of those tend to be SaaS offerings. But as we have previously talked about, we are also taking all of our existing on-premise offerings and either enabling them to be controlled from the cloud or delivered from the cloud. As a result, our entire portfolio is going to be positioned to be available in a subscription and SaaS business model, and we're going to accelerate that. And then as Sumit has talked about, we are introducing offerings like Universal that makes it much, much easier for the customers to go along this journey. And we're going to look hard at what kind of sales incentives and so on we can put in place so that it makes it extraordinarily easy for customers to go on this journey.
Operator: Next question from the line of Kirk Materne.
Kirk Materne: I'll add my congrats, Raghu, on the new position. I don't know if this is for Zane or Raghu, but I was just kind of curious what you all are hearing in terms of we're seeing, frankly, in terms of customers using multiple clouds in parallel with one another, using the infrastructure to sort of move applications around. It seems like customers are still sort of majoring in one and maybe minoring in the other versus having sort of parallel pass on 2 or 3. I was just kind of curious about how you're -- what you're seeing out there and how you're also helping them, I think, fill what is a pretty big skills gap in terms of being able to understand clouds that are getting, frankly, bigger and more complex as we go forward?
Raghu Raghuram: Absolutely, I'll start and then Zane can perhaps add -- or Sumit. Thank you, Kirk. What we are seeing, and this is -- by the way, the data that we see, but I'm going to use an external vendor stack for a second, analyst stack. A prominent analyst has estimated that 80% of customers are using 2 or more clouds, and we see the same pattern. There are 2 -- I would say, potentially 2 major reasons for this. One is, customers have always been about selecting the infrastructure that best suits the application they want to deploy. And for certain applications, it turns out they prefer one set of clouds or one cloud. And for certain other applications, they prefer a second one. So as multiple clouds have become mature and viable with customers, we see customers selecting to put applications -- different applications in different clouds. That's one reason we see this. The second reason we see it is, most large companies, especially are distributed organizations with the different buying centers and different technology preferences, and they pick different clouds. Whatever be the underlying reason, the reality is that customers are using multiple clouds. And to your point, it is fairly early in this process. So the mix will shift. And on top of that, all of our customers are investing in private clouds as well. So in earlier conversations, I've talked about a 2 plus 1 or a 2 plus 2 phenomenon, where they're using at least 2 public clouds, their private cloud and in many cases, building an edge cloud. So this is what we mean when we talk about multi-cloud. We don't just mean 2 clouds or 2 or more public clouds. So does that provide you with a sense of the market around this?
Operator: Next question from the line of Shannon Cross.
Shannon Cross: Hi, Raghu and Zane, just one for me. I'm curious about security. And as obviously, moving to more of a multi-cloud platform, what are you hearing from customers in terms of their concern about security? Are there areas that you think you need to expand on to address some of their concerns? And is it the first thing people talk about? Or how are you addressing it?
Raghu Raghuram: Yes. Thanks, Shannon. In fact, we had our Security Council -- Customer Advisory Council yesterday. And so we had a great discussion. This is high -- security's high on every CIO's priority list, as you can imagine. And the cloud phenomenon makes it go even higher. And let me give you a couple of examples that are tied to multi-cloud actually. One major bank that was in our Customer Advisory Board, the security architect for that said, they analyze -- they have 900 applications running on public clouds. And they analyze all 900 applications. They found all 900 of them were multi-cloud in the sense they had components in the public cloud, in the private cloud and in some other clouds because these applications by themselves are distributed. And the problem they're trying to solve is, how do I secure an application that's spread out like this, right? And then if you step back, the second problem that they are all asking themselves is, now that our application assets, which are the most important digital assets and the data that is associated with that, how do we protect and secure them when they're so distributed? So multi-cloud certainly puts security even more to the forefront.
Operator: Next question from the line of Keith Bachman.
Keith Bachman: Congrats, Raghu. I wanted to ask, Zane and Raghu, if you could talk about Tanzu adoption. It seems that this is an important beacon for the durability of the overall portfolio, so I hope you could speak on adoption trends broadly. And I know you mentioned 5 of the top 10 deals included it. How are you getting paid in those deals per Tanzu. And more broadly, can you -- is there any kind of metrics you can give us on number of developers, downloads, anything that would give a broader indication on where Tanzu sits today versus, say, a year ago and how you think that may unfold 12 months from now?
Raghu Raghuram: Let me start. So the Tanzu portfolio is pretty comprehensive, and it's growing even broader by the day. And the central problem that Tanzu, portfolio-wise, we are trying to solve with Tanzu is helping our customers developers modernize their applications in the clouds of their choice, where the cloud could be the private or any public cloud that they chose to be in. So that really is the value proposition of Tanzu. And given the importance of application modernization and digital initiatives at all of our customers, you can imagine why Tanzu's becoming more and more central to what we talk about with a lot of our customers. Now in terms of the momentum, Zane talked about it being present in 5 of our top 10 deals. And before I get to the second part of your question about metrics, let me briefly talk about the elements of the portfolio. One of them is the core Kubernetes aspect of it, which is emerging as the modern substrate on which modern applications live. The second is the management of these applications running on Kubernetes. And the third is what developers are using -- the tools that developers are using to build their applications. Just to take one data point on that, Spring, which is a modern developer -- it's been a developer framework that's been very popular in enterprises. We have over 5 million developers that are registered used developers of Spring. And Spring Boot, which is how -- which is the technology Spring developers used to modernize, we are seeing 32 starts of Spring Boot applications every minute. And that's an amazing number. In terms of our application marketplace, our Bitnami open source application marketplace, we have over 2 million developers registered for that. So we have quietly built quite a significant population of developers that are using Tanzu technologies to modernize their applications.
Operator: Next question from the line of Nehal Chokshi.
Nehal Chokshi: Congrats, Raghu. Looking forward to seeing what you can do here, which I think will be fantastic. Look, it seems like the environment is improving, strong results. The fiscal year '22 guidance is raised by about $100 million versus the first quarter beat of about $85 million. So that represents only about a $15 million forward raise. Given the context that I just talked about, why not a much larger raise here?
Zane Rowe: Nehal, we feel good about -- obviously, about our performance in Q1. The outperform, as you've heard through the course of this call was primarily on the license element of the business. And while we're pleased with the sub and SaaS performance, we recognize with the ratable revenue recognition that we'll continue to push that through the course of the year. So we feel good about, obviously, our performance in Q1. We feel good about Q2 and -- as well as the raise in the guide for the full year. But obviously, we continue to focus on sub and SaaS, which will be something that we'll talk more about on the bookings side. But you would expect to see a lot of that revenue recognized not only towards the tail end of this year, but well into next year as well. So we feel good about the forecast, and we think the $100 million was a good beat and raise.
Operator: Our last question comes from the line of Keith Weiss.
Unidentified Analyst: This is Chris on for Keith. So just a quick one for me. We've been hearing in our checks that the VMware and Azure relationship has been picking up pretty good traction. So just wondering how that partnership is different from the VMC on AWS flagship partnership you have. And any expectations you have for how the Azure partnership can scale, especially now that you have the VMware Cloud Universal product out?
Raghu Raghuram: Yes. So VMware Cloud and AWS is the service that we own and operate. AWS is our preferred partner. Having said that, the offering on the Azure platform is built and run by Microsoft, but it has the essential VMware Cloud Foundation stack. So a customer that's running on-premise can move to that stack with a lot of the similar benefits that they get from the VMware Cloud and AWS stack. In fact, one of the Microsoft Team members that we collaborate with said, this is the fast path for Microsoft workloads to go to Azure. So we are seeing a significant amount of customer interest in that platform. And we have already started seeing some early reference wins, like American Airlines that's moving their desktop virtualization population there, [Suncorp] a large bank and APJ doing their data center evacuation on top of Azure. So we are seeing some good momentum -- early momentum.
Paul Ziots: Thank you, Chris. Before we finish, Zane has some concluding comments.
Zane Rowe: Sure. Thanks, Paul. As you've heard, Q1 was a good start to the fiscal year. And we're pleased with our progress and the momentum we're building with our subscription and SaaS portfolio. We're excited about our next chapter as a stand-alone company with Raghu as our CEO and look forward to updating you again next quarter. Thank you very much, everyone.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect.